Operator: Welcome to Monroe Capital Corporation's First Quarter 2025 Earnings Conference Call. Before we begin, I would like to take a moment to remind our listeners that remarks made during this call today may contain certain forward-looking statements, including statements regarding our goals, strategies, beliefs, future potential, operating results and cash flows. Although, we believe these statements are reasonable based on management's estimates, assumptions and projections as of today, May 8, 2025. These statements are not guarantees of future performance. Further, time-sensitive information may no longer be accurate as of the time of any replay or listening. Actual results may differ materially as a result of risk, uncertainty or other factors, including, but not limited to, the risk factors described from time to time in the company's filings with the SEC. Monroe Capital takes no obligation to update or revise these forward-looking statements. I will now turn the conference call over to Ted Koenig, Chief Executive Officer of Monroe Capital.
Ted Koenig: Good morning, and thank you to everyone who has joined us today. Welcome to our first quarter 2025 earnings call. I am here with Mick Solimene, our CFO and Chief Investment Officer; and Alex Parmacek, our Deputy Portfolio Manager. Last evening, we filed our 10-Q with the SEC and issued our first quarter 2025 earnings press release. On today's call, I'll begin by providing an overview of our financial results, and then share some relevant thoughts around our current positioning in this uncertain and volatile market environment. I am pleased to report that we declared and paid a $0.25 per share dividend in the first quarter of 2025, representing an annualized dividend yield of 14.3% based on our May 6, 2025 closing share price. Our first quarter dividend of $0.25 per share was supported in part by our accumulated spillover income, which we've intentionally preserved from Fire's strong performance to provide stability during quarters of lower investment income. As of March 31, 2025, we retained approximately $0.53 per share of undistributed spillover income, which continues to offer a cushion for future distributions. This disciplined approach allows us to manage through income variability while continuing to deliver consistent returns to our shareholders. In the face of a constantly evolving market environment, our approach remains centered on prioritizing asset quality and positioning the portfolio for long-term performance. In the first quarter of 2025, our adjusted net investment income was $4.2 million or $0.19 per share. At March 31, 2025, we reported NAV of $186.9 million or $8.63 per share and MRCC's leverage was 1.45 times debt to equity. We ended the quarter with reduced balance sheet leverage and continue to focus on managing the investment portfolio while remaining selective with new investment opportunities. During the quarter, our portfolio companies reported solid revenue and EBITDA growth, which with a lower interest rate environment continue to support the portfolio's interest coverage ratio. Our portfolio management team continues to focus on maintaining the asset quality of the portfolio, which has demonstrated stability over the last several quarters. We rely on active portfolio management approach worked through underperforming investments. This ultimately allows us to proactively assess and mitigate potential risks for borrowers so that we can successfully drive outcomes. Over the last several quarters, we have successfully exited several investments that were previously in our credit watch list. Going forward, we will look to utilize proceeds from portfolio exits to strategically redeploy into an increasingly attractive vintage where credit conditions are tightening and risk-adjusted returns are compelling. Amid the recent market volatility, we believe MRCC's lower middle market direct lending approach with a focus on US-centric asset-light businesses is well positioned. Our senior secured positioning with lower leverage attachment points, conservative structuring and covenant perfection detections and hands-on engagement with our borrowers are several features that drive downside protection and the ability to actively manage outcomes. We have spoken with every borrower and sponsor within the portfolio regarding their direct exposure to potential tariffs. Through those discussions, we have found in our portfolio, which was designed defensively, relatively insulated from potential tariff impacts and its composition were heavily weighted to services-oriented companies and minimal exposure to consumer goods and manufacturing. While trade policies and their economic effects remain highly dynamic, we only have a small number of borrowers in the portfolio that we believe are directly exposed to potential tariffs. In volatile markets with uncertain macroeconomic backdrops, it is important for us to be thoughtful and selective with our investment activity rather than to reach for risk. Thus, we will lead into incumbency lending opportunities with high-performing existing portfolio companies existing portfolio companies that have demonstrated resiliency during challenging operating environments. The companies that we have recently invested in with new portfolio companies and existing portfolio companies operate in recession-resistant industries and are well insulated from the uncertain tariff environment. We also believe that supporting existing portfolio companies will be an important strategy to employ in light of a slower-than-expected M&A environment in the near term. Deploying capital into existing portfolio companies that we know well has proven to reduce underwriting risk and has historically generated some of our most attractive risk-adjusted returns. Consistent with the past several quarters, incremental and follow-on investments made to our existing portfolio companies have accounted for a majority of MRCC's capital deployment a trend we anticipate continuing throughout the first half of 2025. Finally, Monroe Capital the owner of MRCC's external adviser completed its partnership with Wendel Group, a French investment company and one of Europe's leading listed investment firms on March 31, 2025. Monroe and by extension our advisor continues to operate autonomously and independently and its investment process, strategy and operations will remain the exact same. We believe that this was an important step in driving value for our shareholders and are excited to move forward under this new partnership. With that, I am now going to turn the call over to Nick, who's going to walk you through MRCC's financial results in greater detail.
Mick Solimene: Thank you, Ted. At the end of the first quarter of 2025. Our investment portfolio totaled $430.6 million, a $26.4 million decrease from $457 at the end of fourth quarter of 2024. Our investment portfolio consisted of debt and net investments in 85 portfolio companies compared to 91 portfolio companies at the end of the prior quarter. Middle market LBO and M&A activity has slowed down from a highly active fourth quarter of 2024 in January 2025 according to LSEG LTC's first quarter 2025 new line analysis, middle market direct lending volume in the first quarter of 2025 is down 22% and from the fourth quarter of 2024, but was up 16% year-over-year. LLPG's report also indicated that add-ons recapitalizations accounted for a greater share of direct lending volume relative to LDL transactions in the first quarter. As such, delay draw term loan fundings often used to support existing investments accounting for a greater percentage of overall loan volumes have continued to increase meaningfully so far in early 2025. With M&A activities slower than originally anticipated, many companies have continued to focus on executing strategic growth initiatives to drive enterprise value and ultimately position themselves for an exit during a more attractive M&A environment. Investment activity across our platform in MRCC continues to be consistent with those industry dynamics. Over the last several quarters, incremental investments in the form of add-ons or delayed draw term loan plans made to our existing portfolio of companies, of have accounted for a majority of our investment activity. During the first quarter of 2025, we invested $7.6 million in one new portfolio company while we invested $8.8 million in delayed drop funding's and add-ons to existing portfolio companies. While M&A activity has been slower than expected, MRCC still rotated out of seven legacy assets that amounted to $37.6 million of payoffs during the quarter. Several of those portfolio companies that were successfully exited were at one point in line on our credit losses. Additionally, the successful exits allowed us to end the quarter with more conservative balance sheet leverage, providing us with additional dry powder to redeploy assets as well as into existing portfolio of company relationships. Although we will continue to be selective with our investment approach, we believe that this might need, we're spread to be on the widening and lender firms remain favorable in a particularly compelling opportunity for direct planning. During this quarter, our debt outstanding decreased by $22.7 million. At March 31, 2025, we had total borrowings of $271.2 million including $141.2 million outstanding under a floating rate revolving credit facility and $130 million of our 4.75% fixed rate 2026 notes. At quarter end, our leverage was 1.45x on debt to equity compared to 1.53x debt to equity at the end of 2024. At March 31, 2025, the revolving credits over they have $113.8 million of availability, subject to borrowing base capacity. Now, turning to our financial results. Adjusted net investment income, a non-GAAP measure, was $4.2 million or $0.19 per share this quarter compared to $6.2 million or $0.29 per share in the prior quarter. Excluding the impact of incentive fee limitations of $252,000 and $1.2 million for the quarters ended March 31, 2025, and December 31, 2024, respectively. Adjusted net investment income would have totaled $3.9 million or $0.18 per share this quarter and $5 million or $0.23 per share in the prior quarter. The decrease of $1.1 or $0.05 per share in adjusted net investment income after removing the impact of the site got edges was driven by a lower average effective yield reflecting lower interest rate environment select asset-specific performance and a decrease in the average size of the portfolio. These impacts are consistent with the market dynamics that we've seen across private credit space and are not indicative of any structural change to portfolio quality. In addition, as a result of the shareholder friendly total return requirement within MRCC's incentive recalculation, we currently expect at least partial limitations on our incentive fees to persist out this quarter. The weighted average effective yield on the portfolio’s debt and preferred equity investments was 9.2% at March 31, 2025, compared to 10.2% at December 31, 2024. The decline in effective yield was largely due to lower spreads on certain assets and decline in interest rates. As of March 31, 2025, our NAV was $186.9 million, down from $191.8 million as of December 31, 2024. Our corresponding NAV per share decreased by $0.02 from $8.85 per share and $8.63 per share. The decline in NAV this quarter was primarily the result of net unrealized losses associated with certain portfolio companies in the first quarter dividend be in excess of MRCC's net investment income for the quarter. As of March 31, 2025, MRCC has an estimated $11.5 million or $0.53 per share of undistributed spillover income. I will now turn it over to Alex, who will provide more details on our first quarter operating performance.
Alex Parmacek: Thank you, Mick. Now looking at our statement of operations, investment income totaled $11.6 million during the first quarter of 2025, down from $14 million in the fourth quarter of 2024. The $3.4 million decline in this quarter was due to a lower effective yield on the portfolio and a decrease in average invested assets. Throughout most of 2024, the middle market saw loan recompress, while a series of Fed cut amounted to nearly 120 basis point base rate decline. Although spreads have slowly shown signs of widening in early 2025, the decline in interest rate dynamics put pressure on interest yields for direct vendors. While these factors have contributed a modest short-term highway, we view it as transitory. The portfolio continues to demonstrate solid underlying fundamentals we are actively positioning for attractive deployment opportunities as credit spreads and lend returns improve. As Ted mentioned earlier, credit quality is generally stable in the quarter. There were no new investments placed on non-accrual status and our total investment on non-accrual represented 3.4% of the portfolio of fair market value, consistent with our non-accrual rate at the end of last quarter. Further, we experienced favorable portfolio quality migration within our internal risk rating distribution during the quarter. The strength of our platform, including the depth and experience of our portfolio management team, is especially critical for successful exit in the current market environment. Trading [ph] upgrades at our internal risk rating system, such as those that occurred during the first quarter of 2025 are indications that we are seeing improved performance in some of our underperforming portfolio companies. It is important to note that the challenges we've seen in the portfolio so far have been mostly due to idiosyncratic factors and specific voters and are not indicative of a broader pattern or stress within the portfolio. Now shifting over to the expense side. Total expenses for the quarter ended March 31, 2025, were $7.6 million compared to $8 million in total expenses for the fourth quarter 2024, excluding the impact of incentive fee limitations of $252,000 and $1.2 million in this quarter and in the prior quarter, respectively. Total expenses decreased by $1.3 million. The decrease in expenses was primarily due to a decline in our interest expense resulting from a lower interest rate environment and a decrease in our average debt outstanding, as well as a decline in our incentive fees resulting from the lower net investment income during the quarter. The net loss on the portfolio for the quarter was $3.6 million compared to a net loss of $7.7 million for the prior quarter. These net losses for the quarter ended March 31, 2025, were driven primarily by unrealized mark-to-market losses for a few specific legacy portfolio companies that continue to be impacted by macroeconomic and idiosyncratic challenges as well as the company's investment MRCC Senior Loan Fund I, SLF, a decrease in value in SLF was driven by unrealized mark-to-market net losses on SLF investments, which are loans to traditional upper middle market borrowers. The average mark on the portfolio decreased by approximately 1.1% from 92.2% of cost at December 31, 2024, to 91.1% of cost at March 31, 2025. Despite the slight increase in the overall average mark, Portfolio companies rated to on our internal risk rating scale, accounting for over 81% of the fair value, consistent with last several quarters and in line with our three-quarter average. Turning back now to SLF. As of March 31, 2025, SLF had total assets of $86 million, including investments in 30 different borrowers, aggregating $78.4 million of fair value. SLF underlying investments are loans to middle market borrowers that are generally larger and more sensitive to market spread than the rest of MRCC's portfolio, which is focused on lower middle market companies. In the quarter, the average market in the SLF portfolio decreased from 86.8% of amortized costs as of December 31, 2024, to 82.8% of amortized costs as of March 31, 2025. Consistent with the prior quarter, MRCC received income distribution from SLF of $900,000. As of March 31, 2025, SLF borrowings under its non-recourse credit facility of $21.8 million. At this point, I'll turn the call back to Ted for some closing remarks, before we open up the line for questions.
Ted Koenig: Thank you, Alex. As we look to the future, we remain committed to develop delivering long-term value for our stockholders on leveraging our deep credit expertise, rigorous underwriting standards and time-tested portfolio management playbook. Our predominantly first lien portfolio continues to produce strong risk-adjusted returns, resulting in a 14.3% annualized dividend yield. MRCC enjoys a strong strategic advantage in being affiliated with an award-winning best-in-class middle market private credit manager with over $20 billion in assets under management, supported by a team consisting of over 280 employees, including 115 [ph] investment professionals as of April 1, 2025. We remain confident in the resilience of our portfolio and our ability to navigate near-term income volatility with a strong balance sheet, ample spillover income in a conservative credit posture. We believe that we are well-positioned to continue delivering long-term value to our shareholders. Thank you all for your time today. And this concludes our prepared remarks. I'm going to ask the operator, to open the call now for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Christopher Nolan with Ladenburg Thalmann. Please go ahead.
Christopher Nolan: Hey guys. My questions are centered on the sustainability of the dividend. And quite to your credit, you stood by the $0.25 quarterly dividend for a long time. But the portfolio continues to contract in size and thus generating less income to support the dividend. Should we expect some sort of change in that contraction trajectory? Otherwise, should we assume at some point that the dividend will be cut?
Mick Solimene: Hi Chris, thank you for that question. We are continuing to evaluate our dividend in light of kind of stays earnings level. As you know, we don't provide a discussion on future dividends. But based on the current rate environment and our current portfolio composition, at least in the short run, we anticipate that the NII will be on the softer side of our dividend levels. Based on that, we've decided to support the dividend through previously accumulated spillover income, which today totals about $0.53 per share, or about $11.5 million. We used around $0.06 of spillover income this quarter to support our dividend and would anticipate having access to that spillover income in the near-term for sure.
Christopher Nolan: Okay. And as a follow-up, given where the stock is trading right now, and the dividend yield where it is, why aren't you buying back more stock?
Mick Solimene: And so that's another fair question, Chris. We historically have not been in the market to support our stock. Our focus, given especially where our leverage has been, is to use our capital to support a portfolio of companies and maintain it at current levels. But we, given that the stock is trading, are certainly cognizant of all strategic options, including where the stock is trading relative to pay.
Christopher Nolan: Okay. Thank you.
Operator: And your next question comes from the line of Robert Dodd with Raymond James. Please go ahead.
Robert Dodd: Hi guys. Just first one, and then my follow-on to Chris, I mean, in the past, the manager has been very supportive of the BDC in terms of waiving fees in order to allow NII to meet the dividend even if -- while we were going through some transition periods before. So I take it from the commentary here that we should know or investors should no longer expect to manage to waive fees to make that, and it's just going to be the spillover issue and no fee waivers to be expected in voluntary fee way because obviously, there's look backs and the catch-ups and there's various other things. But is that a reasonable conclusion to your comments?
Mick Solimene: Good question, Rob -- Robert. I don't think that's a good reasonable conclusion. We've done it in the past. We've done it. We continue to do that. You look, we've waived any incentive fees this quarter, and we've done it in the prior quarters. The manager has consistently supported MRCC, and we will continue to support MRCC in the future. At this time, we made the decision this quarter to use some of the spillover income from prior periods. And I think that was a quarter decision. I think as we continue here I'm very committed from a manager standpoint to maintaining and supporting MRCC.
Robert Dodd: Got it. Thank you. I mean just a question. I mean, when I look at the SLF, it's kind of the amount of assets in it, the borrowing of that vehicle has been trending down fairly significantly over the last, call it, 18 months and more pronounced kind of this quarter. Is the SLF type structures? Are those expected to be a continued go-forward part of the model? Or is that vehicle effectively in London at this point?
Alex Parmacek: Yes, Robert. Thanks for that question. As we talked about in previous quarters, we've not been constructed around this end of the market. And this is a portfolio that was mostly consistent or upper middle market gains at lower spreads, lower recovery rates. And I've not been very constructive on it. And as you point out, we have a lot this portfolio to decline over the course of the last several quarters to the point where today, we have around 30 borrowers in our portfolio down pretty significantly from peak. We are certainly evaluating today whether we're going to continue to allow or allow continuing to run off of the portfolio or possibly new matter of the portfolio. But at the present time, we are not constructive around kind of this end of the asset class and be comfortable in allowing the portfolio to rapidly delever.
Robert Dodd: Got it. Got it. Thanks. And I mean -- and then put it in all of kind of those questions, the deal with Wendel, as you said, closed on March 31. I mean Monroe is still independent, operates autonomously. I guess it's the right way to put it. But I mean, has that -- given the new partnership and the expanded -- potential Spanish reach of the whole platform as a whole, has there been any -- so is the strategy beyond the things we've already talked about, is the strategy of the BDC likely the public likely to evolve over the next couple of years? Or is what we see, what's likely to stay with the caveat that we talked about, the SLF, et cetera?
Ted Koenig: Good question, Robert. And I think Christopher probably was going in this direction as well. We've got a very dynamic platform, has grown significantly. We have, today, probably over $5.5 billion, close to $6 billion in kind of, I'll call it, the wealth high net worth channel, which include the BDC MRCC. We're going to continue to evolve strategically and do everything we can to create value for our shareholders. And we're looking at -- we're constantly looking at ways to do this, but you can assume, I think, that we're going to continue to strategic ways to create value for our shareholders across the board, including MRCC.
Robert Dodd: Understood. Thank you.
Operator: And there are no further questions at this time. I will now turn the call back over to Ted Koenig for closing remarks.
Ted Koenig: Yes. Thank you for your time today. We appreciate our analysts, our shareholders, we are working very, very hard to maximize value for our stockholders and MRCC and more to come. We look forward to talking to you again next quarter. Honestly, if there's anything that you would like or any questions you have, please feel free to speak with Mick or Alex intra-quarter. We welcome those discussions. So thank you.
Operator: This concludes today's conference call. Thank you all for joining. You may now disconnect.